Operator: Good morning everyone and thank you for participating in today’s conference call to discuss BBSI’s Financial Results for the Fourth Quarter and Full Year ended December 31, 2014. Joining us today are BBSI’s President and CEO, Mr. Michael Elich, and the company’s CFO, Mr. Jim Miller. Following their remarks we’ll open the call for questions. Before we go further, I would like to take a moment to read the company’s Safe Harbor statement within the meaning of the Private Securities Litigation Reform Act of 1995 that provides important cautions regarding forward-looking statements. The Company remarks during today’s conference call may include forward-looking statements. These statements along with other information presented that are not historical facts are subject to a number of risks and uncertainties. Actual results may differ materially from those implied by these forward-looking statements. Please refer to the company’s recent earnings release and the Company’s quarterly and annual reports filed with the Securities and Exchange Commission for more information about the risks and uncertainties that could cause actual results to differ. I would like to remind everyone that this call will be available for replay through March 4, 2015, starting at 3 PM Eastern this afternoon. And a webcast replay will also be available via the link provided in today’s press release, as well as available on the company’s website at www.barrettbusiness.com. Now, I would like to turn the call over to the Chief Financial Officer of BBSI, Mr. Jim Miller. Please go ahead, sir.
Jim Miller: Thank you, Vickie. And depending upon where you are dialing in from good morning or afternoon everyone. As you saw the close of the market yesterday we issued a press release announcing our financial results for the fourth quarter ended December 31, 2014. The 19% gross revenue growth we experienced in the fourth quarter 2014 reflects the positive influence our management platform had on our clients businesses as well as the continued development of our brand name and a growing number of our markets. Complimented by healthy organic growth from our existing client base and strong referral channels we ended the quarter at the end of our expectations. Over the course of the last year we continue to strengthen our operations while maturing our entire organization. We’ve taken significant steps to strengthen our workers’ compensation reserves and increase our financial capacity to support the Company and our growing client base. These steps along with the momentum we experienced in the fourth quarter positions BBSI for a strong 2015. Before taking you through our financial results I would like to mention that yesterday’s earning release summarizes our revenues and constant revenues on a net revenue basis as required by Generally Accepted Accounting Principles or GAAP. Most of our comments today however will be based upon gross revenues and various relationships to gross revenues, because we believe such information is one, more informative as to the level of our business activity; two, more useful in managing and analyzing our operations; and three, adds more transparency to the trends within our business. Comments related to gross revenues as compared to a net revenue basis of reporting have no effect on gross margin dollars, SG&A expenses or net income. Now turning to the fourth quarter results, total gross revenues increased 19% to 931.1 million over the fourth quarter of 2013 primarily due to the continued build in the Company’s co-employed client count and same-store sales growth coupled with a 22% increase in staffing revenues. Overall, PEO gross revenues increased 19% over the fourth quarter of last year to 885.8 million due primarily to the continued build in our co-employed client count in same-store sales. Our PEO revenues from existing customers increased approximately 9% year-over-year due to increases in both headcount and hours worked. This compares to a 10% increase in the fourth quarter of 2013 and a sequential 8% increase experienced during the third quarter of 2014. Staffing revenues for the fourth quarter of 2014 increased 22% to 45.3 million primarily due to an increase in new business. On a percentage basis gross margin in the fourth quarter was 3.7% as compared to 3.1% the year ago quarter. The key drivers of this quarter’s gross margin are as follows; direct payroll cost as a percentage of gross revenues declined 9 basis points from 84.4% from the year ago quarter which reflects an increase in the overall average customer market percentage on the year-over-year basis. For the fourth quarter payroll taxes and benefits as a percentage of gross revenues were 7.3% compared to 7.5% in the year ago quarter. The lower effective payroll tax rate resulted from the Company’s ability to optimize the use of prior wages against the taxable wage basis as new customers are brought on-board and to a rise in the overall average wage rates, which allow the tax ceilings to be reached sooner in the year 2014 as compared to 2013. And this continues a trend that we’ve experienced in the second and third quarters of 2014. As disclosed on prior quarterly calls during the first quarter of 2014 we announced and began implementing an arrangement with ACE Insurance that provides workers compensation coverage to BBSI clients and their employees in California. The arrangement typically known as the fronted program provides BBSI with the use of a licensed admitted insurance carrier in California to issue policies on behalf of BBSI, without the intention of transferring any of the workers compensation risks for the first 5 million per claim. The risk of loss up to the first 5 million per claim is retained by BBSI. BBSI implemented this strategy as a means of continuing operations in California. Under California Senate Bill 863, BBSI is no longer able to be a self-insured for workers compensation in California as of January 01, 2015. The full transfer of our clients to the new program was completed during the 2014 fourth quarter, as we announced two weeks this arrangement was renewed through January 2016 with a potential for continued annual renewals thereafter. The terms of the renewal are similar to the first year of the arrangement. Workers compensation expense as a percentage of gross revenues was 4.7%, for the fourth quarter of 2014 which compares to 4.9% in the same quarter a year ago. I should mention that fourth quarter 2013 included an incremental 5.1 million workers comp claim charge. Looking ahead to 2015 we anticipate the level of workers comp expense to increase to between 4.8% to 5% of gross revenues. This projected percentage increase is due to the increased cost where the surety bonds and letters of credit related to satisfying the security requirements for the company’s California Self Insurance program which expired December 31, 2014 and to a lesser extent the full incremental expense associated with the transition of California customers into the ACE fronted program as to the first quarter of 2015 represents the first full quarter of coverage under the program for all employees. We have continued to offset these incremental expenses through price increases to the market. During the fourth quarter we closed an additional 148 claims from years 2012 and prior yielding 2.4 million of credits. This follows the progress we have reported at September 30, and also supports the trend of 2012 and prior year claims closing for less than the amount put up on these specific claims as a result of our claim strengthening process initiated by the company. For all of 2014 this brings closer to 492 claims or 38% of the total strengthened claims from 2012 and prior resulting in 5.8 million in total credits. And just to reiterate credits represents actual savings on specific claims reserves cost. The significant to the 2012 and older claims is that they are now well seasoned and having been fully strengthened provide us with the solid basis for analyzing the development of claim years 2013 and 2014. SG&A expenses increased 20% to 20.3 million compared to 16.9 million in the fourth quarter of 2013 primarily due to higher management payroll increased IT spend and other variable expense components within SG&A to support continued business growth consistent with the third quarter the increased IT expense relates to projects designed to enhance access and delivery of the information to the field as well as improving efficiencies overtime. The provision for income taxes in the fourth quarter with 6.2 million which represented a tax rate of approximately 46.6%, primarily due to the effect of higher annual income tax rate as a result of the pretax loss for the full year. We expect the tax rate to return to a more historical range in 2015 to the mid to upper-30s. Net income for the fourth quarter of 2014 increased 26.5% to 7 million compared to net income of 5.6 million for the fourth quarter of 2013. Diluted earnings per share for the fourth quarter of 2014 were $0.97 compared to $0.74 for the fourth quarter of last year, or I should say 2013. Net income and diluted earnings per share for the fourth quarter of 2014 were negatively impacted by the effect of the higher annual income tax rate again primarily due to the company’s pretax loss for the full year of 2014. Without the effect of the higher 2014 fourth quarter income tax rate and using a more historical average tax rate net income would have increased 52% to 8.4 million or approximately $1.17 per diluted share. This is based on a provision for income taxes of 4.8 million rather than the 6.2 million. During the fourth quarter we finalized our agreement for credit facility with Well Fargo our principle bank. Under the terms the agreement the credit facility includes a $40 million term loan maturing December 31, 2016 as well as a $14 million revolving credit line with a $5 million sublimit for unsecured standby letters of credit maturing October 1st 2017. The term loan buries interest at LYBOR plus 4% while the interest rate on the advances under the revolving credit line is LYBOR plus 2%. We obtain this additional capacity to address the increase in our workers compensation liability and claims extensive through us recognizing during the 2014 third quarter. In December we use the combination of cash on hand and proceed in the term loan to satisfy our workers compensation reserve funding requirements at December 31st 2014. The agreement also provides for an increase to a total of 114.3 million in cash secured letters of credit to satisfy collateral requirements associated with surety deposits for workers compensation purposes is in the state of California related to our expired self-insurance program. These funds are reflected as restricted certificates of deposit within long term assets on our balance sheet. We expect the level of these restricted certificates of deposits to decrease by approximately 25 million by late 2015 as the outstanding California self-insured liability these deposits help secured is now on a run off mode. Upon a reduction an increased portion will revert to an unrestricted status and become current assets. Our cash, cash equivalents marketable securities as well as restricted securities total 239.1 million compared to 143.2 million at December 31st 2013. Although free cash on hand was significantly depleted at December 31st following the workers compensation funding we had no outstanding borrowings on a revolving credit line. During the fourth quarter we funded approximately 19 million of cash into the ACE trust account to supplement our $31.1 million on deposit at September 30 for our workers comps insurance fronted arrangement with ACE. These funds are included as a component of restricted marketable securities and workers compensation deposits within long-term assets with a small portion representing an estimate of 2014 injury claims to be paid out in 2015 which are included in current assets on our balance sheet. The balance in ACE trusts account is expected to build throughout 2015. We project that most of the funding will come from the expense we accrual expect for some incremental build in that trust account which will come from free cash and could be as much as $10 million. I think it is important to note that while the optics of the company's current ratio does not appear opulent at 12/31/14. The cash generated from the operations of the business is sufficient to fund the daily needs of the company additionally most of the current portion of long term debt does not come due until the end of 2015 which will be funded primarily by income tax refunds and cash flow generated during 2015. We generated approximately 69 million in operating cash flow during 2014 as we've mentioned in prior calls much of our cash generated from operations during the year is in the form free cash flow expect for the build in the workers compensation and safety incentive liabilities as cash used to fund our insurance subsidiaries is primarily generated from the worker compensation expense we recognize but do not immediately pay out to third parties. As we introduced in the third quarter of 2014 in order to provide our investors with a more appropriate forward-looking view of our business we have initiated a rolling 12 months outlook for gross revenues which we plan to update on a quarterly basis. As such we expect gross revenues for the next 12 months period which coincide with the full year of 2015 to increase approximately 18%. Included in this expectation is a high single digit contribution from same stores sales growth as well as growth from new business consistent with current trends. In addition to quarterly updates to our rolling 12 months gross revenue expectations. We expect to make comments about our net income expectations at the end of each fiscal year. As a result we expect diluted earnings per share to increase to approximately $3.30 for the full year of 2015. I look forward to addressing you again on our first quarter earnings call. Now I would like to turn the call over to the President and CEO of BBSI, Mike Elich, who will comment further on the recently completed fourth quarter and full year of 2014 as well as our outlook for 2015. Mike.
Michael Elich: Good morning and thank you for being -- taking time to be on the call. Very pleased with the results for the past three months where we have made significant progress in 2014. We saw progress through the growth and maturing of our brand in all market through the maturing of our organizational structure and the culture of BBSI compliment completion of -- and progress in several initiatives under taking during past three years. Could say that '14 will not be reflected on as an easy year, but I believe the time will show it as a turning point with us emerging as a much better company due to the challenges we had to face. With that said we would not be the company we are without partners including our clients our referral partners, many companies who support our interest with special banks both Wells Fargo and ACE Insurance. Moving forward in the quarter we added 229 new PEO clients. We lost 62 clients, seven due to account receivable; nine were cancelled or left for non-AR issues and lack of Tier progression. 21 business have sold or closed and 25 left due to price to competition or companies having moved away from the outsource model to take payroll in-house. This represents an approximate net build in our quarter of 167 new clients. With same-store sales we saw an increase of 9% related to hiring, increased in hours worked and wage inflation collectively. Slightly ahead of what we would have expected in the past three months. As the snapshot we saw sequentially quarter-over-quarter 37% of client’s added headcount, 38% of clients reduced headcount, 25% were unchanged. We saw 62% of clients increased payrolls while 30% reduced. 70% of clients increased hours worked while 37% reduced hours worked. Related to pipeline and regional growth, we saw -- we continue to see strong momentum in markets with broadening contribution from to client ads across all regions. In serving the organization as to forward-looking pipeline strength and general market outlook we are seeing continued strength in pipeline and client ads as a result of our continued maturing of brand to our offering and organizational bench. Related to structure and organization build we continue to expand and build business units as needed to support current and future organizational and market demand. Currently we have 36 business unit supporting 52 branches. We currently have two business units being built out with forecast for an additional 10 business units to start or build by the end of 2015 for approximate 48 business units. We also continue to see positive momentum with new markets opened in the past two years which include Reno, Nevada; San Luis Obispo; Monterey, and Valencia, California. We are currently opening two branches in the quarter; one in San Martin, California and a second in Charlotte North Carolina with two of additional markets slated for 2015. Related to workers comp and underwriting of risk in the quarter we continue to see a decrease in relative frequency of claims in fourth quarter 2014 compared to fourth quarter 2013. This is important in it; it is a measure of continued improvement to results related to client risk mitigation. This is also an indicator that new clients underwriting is supporting positive trends. Also in the quarter we continue to maintain a positive rate of claim closures resulting in 2013 and 2014 claim closures, closing faster. This is a positive in that claims that closed within the first 24 months of the claim trend year or closing for few dollars with greater predictability. Additionally, due to changes in reserve practice established in 2014 affecting 2013 and 2014 claims we continue to see improvement in paid-to-incur ratios. In the quarter, we continue to see positive results from the claim closures in 2012 and prior this continues to support the basis built through reserve strengthening. Moving forward we’ll continue to monitor trends as to maintain a proactive position related to workers compensation resulting in greater predictability within the model. Looking to 2015 we will focus on continue maturing the organizational bench. We’ll also continue to focus on integration and adoption of systems developed over the last 18 months to complement our brand as well as to bring efficiencies to operations. And finally we will continue to strengthen our product and experience we deliver to our clients, as we mature brand within markets we serve. As I look at the company today the basis of our business is our organizational structure. Over the past few years we have worked to strengthen and mature the structure from the ground-up. Looking forward we expect to see more external evidence of this effect with our teams delivering results on behalf of our clients. As our teams mature and share best practices across markets we will continue to see more consistency in our brand thus we are poised to capitalize on the expansion -- on the extensive market base on how we positioned our self as a company. I look forward seeing the company mature over the next several years. And with that I’ll open it up for questions.
Operator: Thank you [Operator Instructions]. And we will take our first question today from Jeff Martin with Roth Capital Partners. Please go ahead.
Jeff Martin: Mike or Jim, could you expand on the workers compensation expectation as a percentage of gross revenue for ’15. I caught that Jim said 4.8% to 5% of gross revenue and I think previously the discussion was 4.8. Is that tied to the cost for the surety bond and letters of credit? Or am I misreading that it’s not an extension of a higher-end to that range.
Michael Elich: You are right. It’s really related to the increased cost for the surety bonds and letters of credit as the accrual rate for claim loss is within that is at similar rate that we have talked about when we mentioned 4.8%, I think probably at the end of 3Q.
Jeff Martin: Is there something that trend is down throughout the course of the year, and what could swing it from one-end of the spectrum to the other?
Michael Elich: Certainly we expect that to strand trending down, probably only slightly this year, obviously with increased volume the effect of those costs which are really fixed will be diluted somewhat. As we get out in the 2016 and that California liability continues to be in a runoff mode, we will see those cost significantly decrease in the coming year.
Jeff Martin: Okay, so those are tied to the BBSI underwritten policy it’s not the ACE policies. Is that right?
Michael Elich: Correct.
Jeff Martin: And then can you give some insight into the workers comp claims trends and how that might affect the expense accrual maybe in ’16 and beyond. And you are tracking better than expected. Are these trends are starting to emerge with sounds like better reliability, is that something that you see may come down year from now?
Michael Elich: I think there is certainly the evidence that we are seeing in discussions that we have with our actuarial consultant as well as our actuary indicate that they are certainly much more higher likelihood of cost coming down and then going up. So we are optimistic as we go throughout 2015 and then in the 2016 and as that loss data starts to reach what I would characterize as a new normal. I think we will see the potential benefit of costs coming down on a relative basis.
Jeff Martin: Okay, and then do you have an expectation on how quickly you will repay the term loan?
Michael Elich: Well the term loan scheduled payments the first one is 3 million at the end of second quarter of 2015 and then there is another 7 million at the end of September and 15 million at the end of 2015. And with the balance of the remaining 15 million pay throughout 2016.
Jeff Martin: Okay, so 25 million principle reduction in ’15. Is that right?
Michael Elich: Correct.
Jeff Martin: And then it looks like staffing had a really good quarter, is that something you are putting more emphasis on at all. I know that’s not an area you spent a lot of resources in trying to grow that. Some insight there would be helpful.
Michael Elich: I will come on that. We will continue to build infrastructure to support both lines of our business. I think it’s more as branches get bigger staffing or at least recruiting for staffing customers as well as existing PEO clients is natural build out for us. So we continue to invest in those areas. And likewise we do have a strong staffing presence in the Mountain States. Regionally Northwest and then also California continues to emerge in those areas. But we see staffing as a tool to compliment the overall offering that we have. And so it grows as our brand grows.
Jeff Martin: Okay, and then you touched on some branch expansion locations to this year then to next year are too recent and then to next year. And it looks like you are pushing the East Coast a bit more. Is that a fair statement?
Michael Elich: As much as we have seen expand market presence and branches on the West Coast than in California over the last couple of years. Our expansion model is really that of a tuck in and we’ll look where existing markets are starting to pull us to new markets and then will add capacity to optimize efficiencies in the existing branch and to capitalize on new market. So with the growth that we have really seen on the East Coast that’s where we will probably see a majority of the expansion to physical branches in the next year, with Charlotte being one and couple in the Northeast that is ear marked but not necessarily hard wired yet. And then more mature market was continuing to see expansion into business units those are equally additive to capacity of the organization.
Operator: And we'll now go to Matt Blazei with Lake Street Capital Markets. Please go ahead.
Matt Blazei : Hello Mike and Jim, nice job on the quarter with all the distractions, very pleased to see that. I had a question one of your comments regarding your closer of some pre 2012 claims. Can you walk through what exactly that means again and talk about what the credit -- how we should think of the credit that you’re getting back from the -- where are those credits coming from and where they go?
Jim Miller: Sure when we started this reserve strengthening process the goal in mind was to look at the years that were mature enough and we started this process in 2012 happen to be the newest of those older years. So we focused on 2012 and prior to go through that strengthening process with the idea with the claims being fully strengthen it would give us a good solid basis to begin to analyze what we might expect for future years and really give us a good basis to go on. And a significant to the credits that we're seeing is that I think it indicates that when our claims management teams went through and fully strengthen these 2012 and prior claims they did it very conservatively and that’s why we're seeing the credit, meaning that in the cases we've seen so far that have closed, they over shot the market that which when you go through a process like this you trying to get as close to the ultimate settlement as possible. But in this case you'd rather be on the high side than the low side and so that’s what we're seeing with each credits coming back.
Matt Blazei : And where does the credit go on your balance -- I mean does it shift to an asset, how do we it as investors?
Jim Miller: So it actually as it flows through the process it will decrease the liability. And back into essentially IB&R.
Matt Blazei : And you said it was 38% of the identified pre 2012 claims.
Jim Miller: Yes so we have about 1800 open claims when we started the process from those 2012 and older years and we went through and I believe there were about 500 claims that did not need any strengthening done. So there was a book of about 1300 claims that went through the strengthening process. So what we're saying is to date in the latter half of 2014 we had closed out 492 of those claims and which resulted in credits of the 5.8 million meaning that they came in 5.8 million less than we had originally thought following that strengthening process.
Matt Blazei : And is there a goal in 2015 moving through that remainder.
Michael Elich: This is Mike, I would say that yes we will continue to be aggressive and how we look at those claims we'll close them as the opportunity presents itself it's not a matter of just us decided it's time to close them the timing of the injured worker deciding that they're willing to settle or the claim finally closes out or we can reach settlement with legal process to get those to close out. So we'll continue to see incrementally an aggressive position on getting those closed up. We're not going to sell the farm either just to get it done and we feel pretty good today based on early evidence that we have that we're pretty good spot as it relates to as those claims are closing out that we're not having to add reserves to them for the most part. There is a few here in there that we've had that reserves to but for the most part they've been fully strengthen and then we're seeing the credit to come back. I would probably say that you've got, when we say 2012 in prior year talking about 2012 and 20 years prior. So there is a claim in 2006 it might still be there two years from now and we can to get it done but we feel that at least at this point that we estimated that liability to the best of our ability or with the best knowledge that we have today and so far that’s proving to be conservative.
Operator: We'll take a question from Bill Dezellem with Titan Capital Management.
Bill Dezellem: [Audio gap] to have you circle back to your discussion about building your people your management et cetera and I'd like to talk if you could please about the historical approach that was taken and how that is different today and what changes if any -- or tweaks maybe it would be the right term were made in 2014 specifically? And how long do you think it might take for those to show through?
Michael Elich: I would say we always grew up as very much ground up, field based operations focused on the development of our organizational bench and our structure. But we did, we grew up as an entrepreneurially-run company, and that was great. And it got us to the billion mark as we came into 2011 - 2012 we realized that we had to mature into an organization that was professionally managed and as we had to go through those transitions we have to look at structure, completely through the organization. We also used experience of what was working, where we were seeing inflection points in braches to realize okay, we’ve got to adapt to this. So in the last two years -- it’s really being going on for several years I’d say in the last two years we’ve built systems and methods for putting attention towards how we develop individuals specifically as they are coming in and how we train and mentor to establish a consistent bench across the organization, how we continue to develop our leadership bench, one of the things that I found myself is I went from having 95 direct reports to five direct reports -- is that you can put people in place, but then there is another turn of the wheel that you have to look at that it’s about transferring wisdom, insuring the culture and the way you look at the business is consistent. So we’ve put an inordinate amount of time, in fact that’s where I put probably 90% of my focus. How are we building our infrastructure, what’s the tone from the top, how was that resonating throughout the organization and then what are our methods to insure that we are getting through and that we’re having consistency throughout the organization? And we have probably about four tranches of time and windows that we use throughout the organization; throughout the year to ensure we’re impacting that. The other thing that we did is we were probably behind the curve by maybe 5 to 10 years in the area of IT in 2010 and 2011. So we have to really step back and catch up. There were a lot of initiatives that we had to undergo to move to an organization from changing overall payroll system to looking at how we do much more of what we do paperless to looking at how we interface with our data platform more effectively to optimize the effectiveness of our teams. And within that, I think we had a one point 10 separate initiatives of which today we have ongoing adoption of those initiatives, of those systems back into the organization. We’re probably of the 10 that we’re working on maybe six out of the 10 maybe 40% to 60% along and of the four that are left we might be 10% to 20% long. So within the year one of the focuses is to just lock down our base to ensure that what we’ve been working on is fully adopted and it builds our bench and strengthen us for the next turn if we were double the company again in the next so many years. Who would we have to be by the time we got to that point and we’re really putting the energy today and looking that structure system, culture, maturity of the organization to ensure that when we get there we’re not behind the curve.
Bill Dezellem: That’s very helpful. And to take that one step further, will we, over the course of the next year or two, either see expenses increase as a result of these efforts or decrease because you’re becoming more efficient? Or do we see revenues -- revenue growth rates accelerate -- which seems unlikely, given the high level you’re at -- but is that potentially an outcome? Or how do we see this manifest, other than just being a better-run organization?
Michael Elich: I think what you’ll see the growth rate itself will continue to even if it’s just normalized to where we are at, we’ll continue to become more predictable and much more sustainable I think that equally we put, if you look at just last three years the dollars that we pull back in the SG&A to build the infrastructure and more mature itself to where we are at I think you’ll start to see that normalized a bit. So as we take the next turn and grow to that next level we’re getting to -- for instance if we were to double the organization you will not see SG&A overhead the double in line with that. So we’ll begin to see some leverage in the organization, probably see it start to happen in 2015 and then into 2016, 2017. We should continue to see it follow through on that if we execute the plan.
Operator: [Operator Instructions] And we do have a question from Bill Nasgovitz with Heartland. Please go ahead.
Bill Nasgovitz : So just a question I am sorry I might have missed this. You said 2012 how many claims did you settle in the year 148 and that leads how many left to settle?
Jim Miller: This is Jim. During 2014 we settled or closed 492 of a total of 1800 claims for those 2012 and prior years. The 148 was the number of claims closed during the fourth quarter.
Bill Nasgovitz : So leaving something around 1,300 claims?
Jim Miller: Right and of those 1300 there was about 500 or so of those claims that needed no reserve strengthening and so it’s really just I guess probably the remaining 800 or so claims that went through that reserved strengthening process. And I guess key delineation there is that the claims that went through that reserved strengthening process for the ones that typically had more unknown component to them, and where they needed to undergo increases to get to full expected value.
Operator: And that does conclude our question-and-answer session. I would like to turn the call back to Mr. Elich for any additional or closing remarks.
Michael Elich: I just want to thank everybody for taking time to be on the call. Thank you for sticking with us. I would say that as you temper steel it’s never a pretty process and its -- but steel is never tempered is never strong enough to hold up to stress. And one of the things that I would say is to compliment who we are and what we’re about is that we’ve been tempered over the many years. 2014 served as a year temper us a little bit more. And today we are pretty strong company. And for those that are critics of us that would say -- whatever they might say I think that they might be surprised overtime as to what we are really about as they were in the story and we execute the plan. So thank you for taking your timing this morning.
Operator: Thank you very much. That does conclude our conference for the day. I would like to thank everyone for your participation.